Operator: Ladies and gentlemen, thank you for standing by. At this time, I would like to welcome everyone to Coherus BioSciences, Inc. First Quarter 2024 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Jamie Taylor, Head of Investor Relations. Please go ahead. 
Jami Taylor: Thank you, operator. Good afternoon, and welcome to Coherus BioSciences First Quarter 2024 Earnings Conference Call. Joining me today to discuss our results are Denny Lanfear, Chief Executive Officer of Coherus; Bryan McMichael, our Interim Chief Financial Officer; Paul Reider, our Chief Commercial Officer; Rosh Dias, Chief Medical Officer; and Theresa LaVallee, our Chief Development Officer. Before we get started, I'd like to remind you that today's call includes forward-looking statements regarding Coherus' current expectations about future events. These statements include, but are not limited to, the following, our ability to advance our pipeline, projections of future growth, revenue, expenses, headcount, and debt levels. All of these forward-looking statements involve substantial risks and uncertainties that are beyond our control and could cause actual results, performance, or achievements to differ from those implied by the forward-looking statements. These statements are not guarantees of future performance and are subject to substantial risks and uncertainties, including risks and uncertainties inherent in the clinical drug development process that are discussed in our press release that we issued today, as well as in the documents that we file with the SEC. Forward-looking statements provided on the call today are made as of this date and we undertake no duty to update or revise any forward-looking statement. And now, I'll turn the call over to Denny. 
Dennis Lanfear: Thank you, Jami. Good afternoon, everyone, and thank you for joining us on our call today. As we open the call, let me emphasize 2 things. First, the strength of our first quarter results and secondly, the strategic initiatives we are successfully executing to position our company for long-term success. As you are aware, in the fourth quarter of 2023, we received 2 US FDA approvals for products vital for our commercial portfolio. First, LOQTORZI for nasopharyngeal carcinoma, a rare and devastating cancer for which it is the only FDA-approved therapy. And the UDENYCA on-body injector, an innovative drug delivery mechanism with novel features that opens up large portions of the pegfilgrastim market that we previously could not access. In the last 3 months, we launched both products, leveraging synergies derived from our company's focus on oncology. Our Chief Commercial Officer, Paul Reider, will describe these launches in more detail, just a moment, and share with you the enthusiasm with which both products have been received in the market and revenue growth each has experienced this quarter. Recently launched innovative products are fully aligned to our company's mission of extending the survival of cancer patients. On the development side, in just a moment, Dr. Theresa LaVallee and Dr. Rosh Dias, will describe how our R&D pipeline is advancing to plan, with impressive data consistently presented at major medical conferences and more to come. Across every key dimension, the company is executing well and to plan. Regarding strategic initiatives, we are focused on exercising our strategic optionality to strengthen the company's balance sheet and enhance long-term value for our shareholders consistent with our mission. This is particularly relevant to the commitment we have demonstrated, strengthening Coherus' capital structure, where strong progress has been made. I'll highlight just 2 of the recent steps and developments. Early in the first quarter, we announced the divestiture of CIMERLI, a non-core, non-oncology asset for $170 million upfront cash payment, plus an additional $17.8 million in cash for inventory. This divestiture has allowed us to pay down a large portion of our $250 million term loan debt, while reducing interest costs, reducing headcount and overhead costs, and significantly improving our gross margins. Today, we announced a new non-dilutive debt and royalty financing, which fully repays the remaining $75 million, which was otherwise due in October of 2025. With this transaction completed, we have now reduced our structured term loan debt by 85% over the recent 3-month period, while the remaining $37.5 million and moving the due date out 5 years to 2029 with no springing maturity. Timeline for debt maturity under this agreement extends beyond that the development horizon of our products. And with that, let me turn the call over to Paul Reider. Paul? 
Paul Reider: Thank you, Denny, and good afternoon, everyone. With the ophthalmology divestiture, we are now an oncology-centered commercial organization which supports our overarching business objectives. The ongoing oncology launches like, LOQTORZI, UDENYCA ONBODY, UDENYCA autoinjector, enable singular focus on driving top line revenue. We are executing to plan. We are pleased with our progress. Regarding the quarter's performance. Total net product revenue was $76.7 million, a 137% increase over Q1 2023. For our core oncology brands, Q1 UDENYCA net revenue was $42.7 million, an 18% increase quarter-over-quarter and a 63% increase over Q1 2023. LOQTORZI net revenue was $2 million in the quarter, still early in launch and in line with our expectations and with new patient accrual momentum building. Now for our non-core products, Q1 net revenue for YUSIMRY was $3.9 million, 77% growth quarter-over-quarter. And finally, CIMERLI, given the deal closed on March 1st, net revenue for the quarter was $28.2 million and only reflects sales for January and February. I'll now speak in more detail about our core oncology assets, starting with LOQTORZI. The commercial launch of LOQTORZI now establishes Coherus in the immuno-oncology therapeutic area, serves as the foundation upon which we will commercialize our exciting pipeline of I/O products. LOQTORZI has a broad label and is approved in combination with CisGem for first-line treatment of adults with metastatic or with recurrent locally advanced NPC, and as a single-agent for adults with recurrent unresectable or metastatic NPC with disease progression on or after a platinum-containing chemotherapy. Today, the standard of care is chemotherapy. So our ambition is to establish LOQTORZI plus chemo as the new standard of care and offer NPC patients the hope for greater survival based on the final overall survival results from the JUPITER-02 trial in which LOQTORZI plus chemo resulted in a 37% reduction in the risk of death versus chemotherapy alone. Educating NPC treating oncologists on these clinical data remain a top priority, and it's being amplified by the advocacy of the nation's leading NPC opinion leaders who have affirmed the strength of the LOQTORZI clinical data and its position as the new standard of care. Since launch, we've achieved a series of milestones necessary to enable broad prescribing over the course of 2024 and beyond. I'll highlight 4 examples. First, LOQTORZI was included in NCCN, ASCO and Clinpath guidelines. In NCCN, LOQTORZI is the only PD-1 with Category 1 designation for first-line use and the only preferred regimen in second line plus. Second, payer coverage has been confirmed now on greater than 85% of medical benefit lives and health plans, including Medicare fee for service, Medicare Advantage, and national and regional commercial plans. Third, among the top academic research hospitals, LOQTORZI was added to the formulary on 55% of the 33 NCCN institutions with the remaining institutional reviews scheduled. Formulary position is highly expected to be achieved with all NCCN institutions by the end Q2 2024. Finally, product-specific permanent J Code has been granted by CMS will take effect July 1, 2024. This will enable more efficient billing processes and speed the time to reimbursement for providers. Based on LOQTORZI's labeled indication, we estimate approximately 2,000 patients will fall within the addressable market opportunity for LOQTORZI with a hospital formulary conversion process underway, the enthusiasm, with which the community is embracing the product, we're building momentum as the launch continues. In Q1, approximately 80 patients received LOQTORZI treatment across all lines of therapy, combination with chemo or as monotherapy, which was in line with our expectations. We're pleased that the launch is progressing to plan. Now, turning to UDENYCA. UDENYCA delivered another quarter of revenue growth driven by continued strong execution. The strength of our execution is fueled by 3 drivers. First, the commercial launch of UDENYCA ONBODY, a novel proprietary state-of-the-art delivery system for pegfilgrastim, enabling UDENYCA to now compete across the entire pegfilgrastim market. Second, UDENYCA is the only pegfilgrastim brand with 3 device options to meet the unique needs of providers and patients. This strengthens our competitive position and allows us to compete on factors other than price. Third, we come into 2024 with payer coverage, nearly 2x that of 2023, opening up access to significantly more patient lives. As for key performance indicators for the quarter, UDENYCA franchise demand grew 36% quarter-over-quarter, driven primarily by the pre-filled syringe and auto-injector presentations. In addition, franchise market share was 25%, an increase of 10 market share points quarter-over-quarter. Regarding the launch of UDENYCA ONBODY customer receptivity has been very positive. Specifically, providers are pointing to UDENYCA ONBODY 5-minute injection time, which is approximately 90% faster medication delivery in Neulasta Onpro. This is noted as a key differentiator, and this differentiation is translating into strong customer adoption. Summary, UDENYCA franchise now offers providers and patients the total solution, and we expect continued unit and revenue growth with a focus on improving margins over the course of 2024. I'll now turn the call to Dr. Rosh Dias, our Chief Medical Officer. Rosh? 
Rosh Dias: Thanks very much, Paul, and good afternoon, everyone. LOQTORZI or toripalimab with a profound survival advantage demonstrated in nasopharyngeal carcinoma, together with additional positive efficacy data sets published across a variety of tumor types, continues to form the foundational element of our immuno-oncology portfolio. As an IO company with an approved and highly efficacious PD-1, that affords us the opportunity to prosecute 3 distinct strategies for further development of the wider variety of tumor types. Firstly, combinations with our own internal pipeline, which consists of 3 competitively well-positioned assets, tightly focused development plans, all of which are progressing according to plan as casdozokitug our IL-27 targeting antibody, CHS-114, our CCR8 targeting antibody and our anti ILT4. Secondly, development opportunities where toripalimab is studied in combination with novel compounds with INOVIO term registration opportunities fully funded by partner companies in Phase III registration enabling studies, such as the INOVIO vaccine combination study in head and neck, squamous cell carcinoma sponsored by INOVIO where we're providing toripalimab supply and the ongoing Junshi BTLA-toripalimab combination study in limited stage small cell lung cancer. And thirdly, development opportunities for toripalimab with partner companies that have earlier phase novel compounds for which they are looking for a PD-1 partner. With respect to our internal pipeline, let me first start with casdozo. We remain excited about the potential of casdozo in both non-small cell lung cancer, where we have demonstrated monotherapy activity in PD-L1 refractory subjects in the advanced setting, and also in hepatocellular carcinoma, where we have demonstrated encouraging overall response rates in the first-line advanced setting. We're taking forward the non-small cell lung cancer data with our Phase II study that is currently ongoing and is active in the US and where we remain on track to report out data towards the end of this year or early next year. Our second development program with casdozo in advanced HCC also remains on track to start in the second half of this year, building upon the promising data presented earlier this year at ASCO GI. Turning to CHS-114, our CCR8 afucosylated antibody, we've continued to make good progress through dose escalation and are now moving on to the next stage of the study with expansion into head and neck squamous cell carcinoma, where the disease linkage is particularly strong. We're excited that an abstract has been accepted for presentation at ASCO in a few weeks' time for further detail data from the dose escalation portion of the trial. Theresa will speak more about the status of our ILT4 program and will highlight data presented at the recent AACR meeting. Next, with respect to our pivotal partnered programs with nearer-term registration opportunities, our partnership with Innovia continues with the Phase III registration-enabling study in HPV-positive locally advanced head and neck squamous cell carcinoma currently actively in development. In addition, the toripalimab BTLA Phase III combination study in limited stage small cell lung cancer-led by our partner, Junshi continues to progress in the U.S. and also other multiregional sites. And this serves as a further example of the potential of toripalimab to act as a foundational element for novel combinations. Finally, with respect to earlier stage novel combinations, we were delighted to announce yesterday that toripalimab was selected by Cancer Research Institute as the PD-1 backbone for exploration with EMV therapeutics endothelin B inhibitor within a platform ovarian cancer study exploring novel combinations in this patient population that historically has been underserved by immunotherapy. Selection of toripalimab by CRI provides further validation of our strategic trials approach of utilizing toripalimab as an investigational PD-1 backbone in these areas outside NTT. I'll now turn the call over to Dr. LaVallee, our Chief Development Officer. Theresa? 
Theresa Lavallee: Thank you, Rosh, and good afternoon, everyone. I'm pleased to update you on additional progress and our efforts to pursue development of our tumor microenvironment, or TME, focused pipeline. We have 2 approaches, combinations broadly with immune activators with partners, and the internal development plans focused on combination with LOQTORZI. The casdozokitug clinical data in non-small cell lung cancer in HCC that were presented in December 2023 and January 2024 have demonstrated clinical efficacy in early clinical studies. Importantly, the studies show a favorable safety profile, lending casdozo as combination treatments and of equal importance, immune activation in cancer patients. In the casdozo Phase I study, the biomarker data show at casdozo doses of 10 mgs per kg or higher, but not at 3 mg per kg or lower that IL-27 signaling is inhibited and further, NK and T cells are activated. While rebalancing the immune system with anticytokine antibodies is well established in inflammatory diseases such as rheumatoid arthritis, inflammatory bowel disease, and psoriasis, this approach has not yet been successfully demonstrated for the treatment of cancer. Casdozokitug is an antagonist and first-in-class. It blocks IL-27, which is in the IL-23, IL-12, IL-6 family of cytokines, a family that has multiple approved antibody drugs in inflammatory diseases. Our Scientific Advisor, Dr. Christopher Hunter from University of Pennsylvania, was honored for his research on IL-27 with the distinguished lecture at the American Association of Immunologists Congress in Chicago on May 4. In Dr. Hunter's lecture, he described the basic research of mouse models to understand the immune regulatory role of IL-27 and how the absence of IL-27 results in immune pathology due to an overactive immune system, specifically dysregulated and activated T cells and NK cells. Interestingly, these effects are most notable in liver, lung, and brain tissue. In translation of this work to cancer and treatment of patients with casdozokitug showing antitumor activity in lung and liver cancer is very exciting. The strong line of sight for tumor indications where IL-27 biology is critical for regulating immune response allows Coherus to have a focused development plan. I'm also proud to say that at the recent AACR meeting, our team presented IND-enabling studies for ILT4 antibody CHS-1000. CHS 1000 is our first internally discovered and developed IO drug candidate. We remain on track for FDA feedback on the IND in second quarter 2024. I'll now turn the call to Bryan McMichael. 
Bryan McMichael: Thank you, Theresa, and good afternoon, everyone. Since Denny covered the updates to our capital structure and Paul covered revenues, I will focus on the rest of the P&L and cash. Cost of goods sold during Q1 2024 was $34.6 million. Excluding the impact of the inventory write-down in Q4, COGS would have decreased $3 million or 8% from Q4 2023. R&D decreased $5.7 million and 17% from Q1 a year ago, primarily reflecting savings from reduced headcount and reduced development costs on biosimilars partially offset by investments in our IO pipeline. SG&A increased to $7.4 million and 15%, driven by a net $6.8 million charge in Q1 2024 associated with the non-cash write-off of NZV930, which is now license obtained in the Surface Oncology acquisition that was terminated by Novartis. For the first quarter 2024, we reported net income of $102.9 million or $0.83 per diluted share compared to a net loss of $75.7 million or $0.96 per share diluted share for the same period in 2023. Non-GAAP net loss per share, which excludes the gain on divestiture and the net charge associated with the termination from Novartis mentioned earlier, was $35.8 million, or $0.32 per diluted share in Q1 2024 compared to $59.5 million or $0.75 per diluted share for the same period in 2023. Cash and cash equivalents and investments in marketable securities were $259.8 million as of March 31, 2023, compared to $117.7 million at year-end. As noted earlier, we used the cash on hand to pay $175 million in principals after the quarter ended. Today, we are reiterating our expected range of combined 2024 R&D and SG&A expenses of $250 million to $265 million. This guidance includes approximately $40 million of stock-based compensation and excludes business development activities and other unforeseen activities. With that, I will turn the call back over to Denny for closing remarks. 
Dennis Lanfear: Thank you, Bryan. As we have emphasized throughout our remarks today, we are executing well on our 4-part plan to deliver shareholder value. First, driving the top line of our revenues and secondarily, controlling our operating expenses. We are making great progress advancing our pipeline of tumor microenvironment focused assets and lastly, as I disclosed, improving our capital structure. I'm fully confident in both the progress we are making and, of course, we have charted as an innovative oncology company. Operator, we're now happy to open the line for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Yigal Nochomovitz with Citi. 
Unknown Analyst: This is [ Ashley Mubarak ] coming on for Yigal. I joined a little bit late, so I apologize if I missed this, but how are you thinking about the contribution of each presentation of UDENYCA to the revenue mix for the quarter? And more importantly, how's that going to look like moving forward? I kind of assume that weighting will increase towards the new presentations, but I'm wondering how you're thinking about it. 
Dennis Lanfear: Thank you very much for your question. Paul Reider will be happy to further describe the contribution revenues for the 3 presentations that we now have on the market. Paul? 
Paul Reider: Yes. So the -- in the first quarter, the prefilled syringe still represented the largest share of our SKU mix. It was around 90%. The autoinjector is around 8%, and the ONBODY came in around 2% recalling that, we launched mid-quarter. So we only had about half of the quarter of the ONBODY. So that's the breakdown of the SKU mix. It varies a little bit by segment. So clinics and hospitals tend to customize the SKU that works best for them, which is exactly how we are now competitively positioning the franchise. And we're the only franchise that can offer providers and patients 3 different options to meet the unique needs of each individual patient or how they deliver pegfilgrastim. So you could see how that differentiation has translated into market share growth. [ 10 percent points ] quarter-over-quarter to 25%. And so we're going to continue to drive that differentiation as the remainder of the year unfolds. 
Unknown Analyst: Paul, how do we see the market share of each of the presentations evolving through the rest of the year? Do you have any line of sight on that? 
Paul Reider: Yes. I think it's still early in the ONBODY launch. So we are gaining feedback from customers as where it's fitting in. I can tell you right now that it's moving primarily in the clinic segment and also different segments of the hospitals. But I think we're still going to see throughout this year, at least, the prefilled syringe still holding a good percentage of the SKU mix, with the remainder being auto injector and the ONBODY. But the ONBODY growth has largely been in the clinic segment. We would expect that to continue throughout the year. 
Dennis Lanfear: Thank you for your question. 
Operator: Next question comes from the line of Kripa Devarakonda with Truist Securities. 
Kripa Devarakonda: For -- on LOQTORZI, you mentioned that the launch is going well. Can you maybe provide some color on whether the drop has been used more in front line or second line setting? And also, I think it's a new launch and it's relatively rare disease. So you mentioned it can take time to get on the formularies. You talked about 55% -- being on 55% of the 33 NCCN hospitals. Is this in line with your expectations? 
Dennis Lanfear: Kripa, thank you for your question. Paul would be happy to comment a little bit about frontline versus second line utilization and the 55% NCCN conversion. Paul? 
Paul Reider: Yeah. Thanks for your question. So, going back to the labeled indication or LOQTORZI, it's indicated in the earlier stage of the recurrent locally advanced patients and that we are seeing LOQTORZI use in those patients. It's typically, in that case, combined with chemotherapy. What we also saw, as expected, was contribution of LOQTORZI in both the metastatic setting in both the frontline and the second line plus. And in those cases, if it's frontline, it was being combined with chemotherapy consistent with the JUPITER-02 trial in our labeled indication and more as monotherapy when it's second line plus. So, as expected, it's being positioned all throughout the indicated uses. The only thing, and I think you mentioned this, was like when in the second line and the later lines of therapy, these patients' duration is likely going to be less. And if when we have eligible patients, though, that are already on an off-label PD-1, those will be difficult for LOQTORZI to capture. So, the value of the franchise will occur over the next 3 years as we build up the large majority of the new standard of care in the frontline setting. As for the formularies, yes, that's very much in line with our expectations. Academic medical centers have processes. It takes time to go through those formularies. And as I mentioned, we would expect all the remaining NCCN institutions to be completed by the end of the year. 
Operator: Next question comes from the line of Mike Nedelcovych with TD Cowen. 
Michael Nedelcovych: I have 2. The first is also on LOQTORZI. Your progress in gaining formulary access is impressive. Is that basically the lever that's needed to be pulled in order to displace any residual off-label prescription of other checkpoint inhibitors? Or is there additional work that needs to be done from a marketing or physician education perspective? So, that's 1 question. And then my second question is on YUSIMRY. I think in the past you've suggested that 2025 could be an inflection year for a biosimilar like YUSIMRY based on some of the IRA provisions. Are you still thinking about it that way? Does YUSIMRY have a bright future ahead? Or what is your latest thinking on YUSIMRY's outlook? 
Dennis Lanfear: Great. Thank you for the question. I'll let Dr. Rosh Dias firstly address the issue of the therapy selection decision that physicians now have with the launch of LOQTORZI, and then Paul can secondarily talk about YUSIMRY. Rosh? 
Rosh Dias: Yes. Thanks very much for the question. So, I would say doctors tend to be pretty evidence-driven and we have 3 things that no other PD-1 has. First of all, we have an indication. Secondly, we have a profound survival advantage in the first-line setting, 37% risk reduction of death. And again, that's in the context of negative trials with other PD-1s in nasopharyngeal carcinoma. And then the third thing we have is also a preeminent positioning on the NCCN. So, first line, we are the only category 1 designated IO therapy and in second line and beyond, we have the -- we are the only preferred regimen, actually. So I think as we start seeing patients, I think these 3 things are key, and Paul's team is continuing to message on those 3 things. 
Dennis Lanfear: Thank you. Paul, do you want to comment a little bit on our expectations for YUSIMRY going to 2025 with IRA? 
Paul Reider: Sure, Denny. Thanks for your question, Mike? Yes, for 2025 formulary negotiations are ongoing. And YUSIMRY and Coherus are actively engaged in that process. So we continue to believe that that will be the -- I think, the point where we see even greater inflection of biosimilars in the adalimumab space. So I think we're well-positioned there based on our price point and the value that this product brings to the health care systems and patients. 
Operator: [Operator Instructions] Your last question comes from the line of Balaji Prasad with Barclays. 
Unknown Analyst: This is [ Shau ] on for Balaji. Just a quick follow-on question on the UDENYCA franchise. Amneal recently announced that they are licensing pegfilgrastim ONBODY injector and pre-filled autoinjector, and they expect to submit the [ BRA ] in first quarter of 2025. And there are a few other players that are trying to get into this landscape. So what is your expectation for the pegfilgrastim ONBODY injector landscape and the entire market for the next 2 to 3 years? And do you have any plans or mechanism to build and defend your market shares against those potential new entrants? 
Dennis Lanfear: I'm sorry. Want to understand -- we're having a difficult time hearing you. Want to understand your question. Is your question with respect to future entrants in the ONBODY space with the pegfilgrastim market or with autoinjectors? 
Unknown Analyst: Pegfilgrastim market, like -- especially the ONBODY injector and the auto-filled -- pre-filled auto injector as Amneal recently announced that they have something in plan and they plan to file a BRA in first quarter of 2025. 
Dennis Lanfear: Paul, would you like to address how we view the competition in pegfilgrastim market for future autoinjectors? 
Paul Reider: Yes. Well, first of all we've been operating in this pegfilgrastim market now -- we're in our sixth year and maintain one of the leadership positions here. So what we're going to continue to do is focus on our business and the positioning of UDENYCA, which is to be the total solution for providers and patients. And we're doing this, as I mentioned, because today, we've got all 3 presentations. It's tried and true and well established in the market. Secondly, we've got strong payer coverage. And so that's being recognized by payers that UDENYCA brand is a go-to brand because of all these benefits that we bring to not only the consistency in the marketplace, the predictability, but also the high quality and reliability of this brand. So we'll be prepared for any competition if anybody else comes. But we believe we'll continue to be well-positioned to compete and win, whatever that landscape unfolds. 
Dennis Lanfear: Thank you, Paul. The other point that I would make is consistent with Paul's remarks, our ONBODY injector represents an innovative de novo, highly sophisticated device with a 5-minute injection time. And the enthusiasm with which it has been received by the market, the physicians and the patients is due to that. We believe there are significant technical hurdles to such an approach, and we investigated a number of approaches before settling on this one. So we think this is very important. We think we got it right. But lastly, as Paul said, we are first competitors in the pegfilgrastim market, and our track record over the last 6 years demonstrates that we are the only team with all 3 presentations, each filling a particular need in the market. So I believe that we're very confident in our ability to compete and remain successful and grow share in this market. 
Operator: Another question comes from the line of Douglas Tsao with H.C. Wainwright. 
Douglas Tsao: Obviously, there are a number of sort of gates that you need to clear in terms of the ramp-up for LOQTORZI in particular, getting on to formulary. How quickly do you think you can get through those and sort of have access at sort of the -- most of the -- majority of the market? And what other steps do you think we might need to -- you might need to clear before we really start to see an acceleration in the revenue trajectory? 
Dennis Lanfear: Thanks for your question, Doug. Paul, would you like to comment a little bit on the gating of the adoption of LOQTORZI and how we do that? 
Paul Reider: Yes. Thanks for your question, Doug. Yes. So, obviously, the payer coverage was -- is the first one, and that's well established. And I don't really foresee any further hurdles on the payer side. The second gate is now that we've got the NCCN guidelines, what we have to ensure now is in each of the accounts that the guidelines that are translated into the order sets. So again, this enables the doctor at the time of prescribing that when they click through the order set that LOQTORZI, chemo combination is there. That's ongoing, but that will typically settle in here over this next quarter. Then, Doug, I really think the next gate is just sort of washing out all of the current patients that are on current off-label PD-1s and establishing the new patients with LOQTORZI as the new start and getting anybody that's on chemo today or not on a PD-1 treated with LOQTORZI. And that's just going to take a continued effort in terms of promotion, both through our sales team, from the KOLs from the podium and through the referral networks, but also through our digital efforts. And we're going to continue to invest and deploy those so that at the time of decision, the oncologist knows that LOQTORZI and chemo is the regimen of choice for those patients. But again, it's a rare disease. It's going to ramp up, which is why we think peak is going to occur around year 3 of this. But we feel very confident we're going to achieve that. 
Dennis Lanfear: Doug, for all the reasons that Paul just elucidated, we see the growth of this market as a steady ramp up to peak market share and penetration, probably out around year 3. So this isn't a market such as a replacement enzyme market or something where you can get out to these patients and just find them immediately convert them. These patients are in various stages of therapy. They may have been exposed to another PD-1. We're going to catch the patients that are on chemotherapy. Those are all eligible. They'll all benefit. Some patients, we will have to wait for them to progress to second line. But the key issue is, as Rosh Dias pointed out, we are the only first-line therapy from the FDA. We've gotten a position on all of the formularies. We're doing very, very well with the NCCN, but I would say with the building blocks are in place for the market, we see a steady ramp forward over the future. 
Douglas Tsao: Okay. Great. And maybe a follow-up question on the UDENYCA franchise. I'm just curious, we're starting to see uptake of both of your ONBODY device as well as the autoinjector. I'm just curious if you have any insight in terms of how physicians are using the 2 -- those 2 dosage forms or product types. Are there sort of themes in terms of the types of patients that are getting the ONBODY versus the auto-injector and vice versa? 
Dennis Lanfear: Paul, I guess the question is, what sort of patient settings would they go for the autoinjector, what patient settings for the ONBODY and so on. 
Paul Reider: Yes, Doug. So let me frame this in a couple of different ways. First, let's take the clinics. So the clinic segments are going to gear more towards all 3 of the presentations because they have patients who like to come back to the office the next day. They like the high-touch connectivity with their nurse and with their doctor. And so therefore, the prefilled syringe or the autoinjector are positioned for those patients. But some patients in the clinic, they want their injection experience at home. Therefore, we give them the option of the ONBODY device with a well-designed 5-minute injection. But if the patient wants to self inject, and not wear the device, they can choose the auto-injector and under 10 seconds inject themselves at the time and place that they like. So that's really how we're positioning by the patients and by the provider. The hospitals, they tend to go a little bit more with the ONBODY device or the prefilled syringe. So we've had good uptake with autoinjector in the hospital, but not nearly as much in the clinic, because they prefer either the prefilled syringe or the ONBODY is the at-home preference. So that's kind of how we're seeing it. And, being the only franchise with all 3 options really sets us apart from a competitive differentiation. And I think you see that in our market share growth. 
Operator: Question comes from the line of Colleen Kusy with Baird. 
Colleen Hanley: So for -- realizing you're not providing guidance at this point, but just how to think about what the growth drivers for UDENYCA will be in 2024? Is it growing the ONBODY? Is it just focusing on the prefilled syringe and autoinjector? Just kind of thoughts around growth for UDENYCA this year. And then, sorry if I missed this in the prepared remarks, but if you could just speak towards the potential of reaching cash flow positivity and if that goal is still set for 2024. 
Dennis Lanfear: Thank you, Colleen. I'll let Paul handle the growth drivers for UDENYCA first, and then I'll handle your secondary question with respect to 2024. Paul? 
Paul Reider: Yes, thanks for your question. Yes, I think we fully expect the ONBODY to be the predominant driver of our growth in 2024. As Denny mentioned that the approval of that product now opens up segments of the market that have been difficult to penetrate with our prefilled syringe and autoinjectors. So we're really looking for that SKU, that presentation to drive market share growth for the remainder of the year. It'll be buoyed and facilitated by our payer coverage, which I mentioned was doubled this year versus last year. And that payer coverage extends to all 3 product presentations. So, really not inhibited by payer coverage by each of those presentations. So, where we've got it, we've got all 3 and we will leverage that as we continue to execute. 
Dennis Lanfear: Thanks, Paul. With respect to your secondary question, I would first say 2024 is shaping up to be a more predictable year than 2023. Insofar 2023, we had to focus a lot on getting approvals. We focused on getting the ONBODY approval. We did that successfully. We went and got LOQTORZI approved and the FDA. That was -- that took a little time. We got that done. And then we rolled into the launches, particularly the launch of the ONBODY, the launch of the autoinjector and now launch of LOQTORZI. So the trajectory over 2024 is continued revenue growth. We'll see more LOQTORZI as we go on the year -- quarter-to-quarter. And we believe that we'll also see continued growth with respect to UDENYCA for the reasons that Paul just laid out. The issue is like, how steep will that growth curve be, how much growth. And what we are constrained by is the real world looking experience, looking backwards, right. We are very early in these launches. We have just gotten out there. With respect to LOQTORZI, we're making very good progress on the formularies, but it's a rare disease. Now we have to acquire the patients and so on. But I think we're off to a very good start. So we don't want to forecast with respect to our forward looking, although clearly, as I indicated, growth will continue. So it's a question of when and how that will go up. That remains very clearly in our sights is to move forward in that direction. But the growth is something that we're happy with. 
Operator: There are no further questions at this time. Mr. Dennis Lanfear, I turn the call back over to you. 
Dennis Lanfear: Thank you, operator. Thank you all for joining us on our call today. And thank you for the opportunity to enumerate for you the progress we've made across all of our key overtures, particularly with respect to driving our sales and advancing our tumor microenvironment focused pipeline. And we look forward to [ pricing you ] of our progress at our next call. Thank you. 
Operator: [Audio Gap] today's conference call. You may now disconnect.